Operator: Good day, everyone, and welcome to the Lumentum Holdings Third Quarter Fiscal Year 2022 Earnings Call. All participants will be in a listen-only mode. Please also note, today's event is being recorded for replay purposes.  At this time, I'd like to hand the conference call over to Kathy Ta, Vice President of Investor Relations. Ms. Ta, please.
Kathryn Ta: Thank you, operator. Welcome to Lumentum's fiscal third quarter 2022 earnings call. This is Kathy Ta, Lumentum's Vice President of Investor Relations. Joining me today are Alan Lowe, President and Chief Executive Officer; Wajid Ali, Chief Financial Officer; and Chris Coldren, Senior Vice President and Chief Strategy and Corporate Development Officer. Today's call will include forward-looking statements, including statements regarding our expectations regarding the pending acquisition of NeoPhotonics, including market opportunity, expected synergies, financial and operating results and expectations regarding accretion, time to close, strategies of the combined company and benefits to customers in the markets in which we operate, as well as the impact of COVID-19 on our business and continuing uncertainty in this regard; trends and expectations for our products and technology; our markets; market opportunity and customers; and our expected financial performance, including our guidance as well as statements regarding our future revenues, our financial model and our margin targets. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our current expectations, particularly the risk factors described in our SEC filings. We encourage you to review our most recent filings with the SEC, particularly the risk factors described in the quarterly report on Form 10-Q for the quarter ended January 1, 2022 and those in the 10-Q for the quarter ended April 2, 2022, to be filed by Lumentum with the SEC today. The forward-looking statements provided during this call are based on Lumentum's reasonable beliefs and expectations as of today. Lumentum undertakes no obligation to update these statements, except as required by applicable law. Please also note, unless otherwise stated, all results and projections discussed in this call are non-GAAP. Non-GAAP financials are not to be considered as a substitute for, or superior to, financials prepared in accordance with GAAP.  Lumentum's press release with the fiscal third quarter 2022 results and accompanying supplemental slides are available on our website at www.lumentum.com under the Investors section. This includes additional details about our non-GAAP financial measures and a reconciliation between our historical GAAP and non-GAAP results. With that, I'll turn the call over to Alan.
Alan Lowe: Thank you, Kathy, and good morning, everyone. Strong demand and solid execution by our team around the world resulted in all third quarter financial metrics being at the high end of our guidance range. We are in an excellent position to grow revenue in Q4 and in fiscal 2023, and we believe we will see continued revenue growth beyond 2023.  Long-term tailwinds are driving our markets and demand for our differentiated products is already strong and growing. Unrelenting growth in data generation and consumption is driving the cloud and networking markets we address. Our customers are just beginning multi-year infrastructure upgrades that require our leading-edge photonics.  Use cases for our high-performance lasers for 3D sensing and LiDAR are expanding beyond mobile handsets. And in Q3, we announced a new reference design and building automation. New automotive customers are turning to our lasers for LiDAR, and we are engaged with more customers on extended reality applications.  Demand for our commercial lasers also continues to grow as industrial and microelectronics factories and semiconductor fabs expand and upgrade their capabilities and increasingly utilize the leading edge lasers we supply.  Near-term, telecom customer demand is outpacing the supply of third-party components, most notably semiconductors that we need to build many of our products. Our supply chain team is making excellent progress to alleviate component shortages, which we expect will drive strong sequential growth in telecom revenues in the fourth quarter. We expect this telecom growth, combined with the increased output from our recently commissioned datacom capacity, will more than offset normal 3D syncing seasonality in Q4.  We expect Q4 revenue will increase sequentially and year-on-year. Our Q4 revenue outlook would result in a new company high for a fourth quarter. Though component supply is increasing, demand is growing even faster. We expect more than a $100 million revenue impact as a result of the gap between demand and supply in Q4. This is up significantly when compared with an approximate $65 million gap we saw in the third quarter.  While we expect these supply shortages to continue to improve with the diligent work of our team and our suppliers, given the accelerating demand environment, we will likely see customer demand outpacing third-party material supply into calendar 2023.  The NeoPhotonics acquisition remains on track for the previously announced timeline of closing in the second half of calendar 2022. We are working diligently with antitrust authorities in China, with their approval being the final key closing condition for the transaction.  Integration planning with the NeoPhotonics team gives me strong conviction that the combination will create value for our customers, our suppliers and our shareholders to a more comprehensive portfolio of differentiated products for our cloud, networking and automotive customers, as well as meaningful cost synergies.  Now, let me provide some detail on our third quarter results. As expected, telecom and datacom revenue was down quarter-on-quarter due to supply constraints despite very strong demand.  New applications for our 10G tunable transmission products are accelerating. These include metro access and fiber deep applications for cable MSO and networking customers, as well as wireless fronthaul for mobile networking customers. The wireless fronthaul application is just starting to be deployed and is expected to deliver meaningful revenue by the end of the calendar year.  We are increasing our manufacturing capacity for our 10G and soon-to-be released 25G tunable products in our wafer fab and our back end assembly and test factories to address the rapid adoption of this differentiated and enabling technology.  Pump laser sales are robust and grew more than 50% from the same quarter last year. As we have mentioned previously, elevated pump shipments frequently have been a leading indicator of future telecom demand.  In addition, submarine cable suppliers are deploying subsea cables at record levels, driven by the robust demand from hyperscale data center operators. This is another leading indicator of future telecom demand. We expect these infrastructure investments will help propel momentum into double-digit growth starting in fiscal 2023 for multiple years.  EMLs serving high speed cloud data center applications reached a new record in revenue. New EML manufacturing capacity will allow us to ramp our datacom shipments even more to help us better fulfill strong customer demand for our differentiated products. Accordingly, we expect fourth quarter EML revenue to increase significantly from the third quarter.  Looking ahead to the fourth quarter, we expect telecom and datacom revenue to be up strongly quarter-on-quarter due to the improvements in IC component supply, but still significantly below the level of customer demand. We continue to work diligently with our suppliers and on alternative sources of supply to alleviate shortages.  Turning to industrial and consumer. Third quarter revenue was down from last quarter as expected due to 3D sensing seasonality. We are expanding our 3D sensing and LiDAR platforms into new applications in the industrial market.  In the third quarter, we announced a reference design with Ambarella for building automation and occupancy sensor systems. The design uses Lumentum's flood illuminator module for high accuracy time of flight 3D sensing, together with Ambarella's AI system on a chip enabling the application of small sensors with local processing for occupancy monitoring, intelligent space management, and smart retail.  In automotive, we have expanded our development activities with new LiDAR customers and we are very pleased to have entered into a customer-supported development agreement for long range LiDAR with a market leader in the ADAS space.  In addition, we have begun our production ramp of our multi-junction VCSEL arrays for Hesai. The customer pipeline for our products serving in-cab and driver monitoring systems is also growing.  In addition, we have early product traction with multiple customers who are developing extended reality solutions, which we expect will come to market in 2023. We expect fourth quarter industrial and consumer revenue to be down sequentially, with typical consumer product seasonality.  Our commercial lasers revenue was up again quarter-on-quarter as expected, achieving near-record levels, primarily driven by fiber lasers, serving automotive and industrial applications. Ultrafast lasers for manufacturing of semiconductors and consumer electronics also grew sequentially.  Looking ahead to the fourth quarter, we expect laser revenue to grow again quarter-on-quarter, driven by new products and the overall market. We expect laser quarterly revenue to surpass our previous record as this business grows over the coming quarters. Before turning it over to Wajid to run through the numbers, I'd like to acknowledge our employees' commitment to implement sustainable practices. To meet our companywide goal of net zero carbon emissions by 2030, we have transitioned more sites to renewable energy.  Since January, our site in Ottawa holds a renewable energy certificate and we installed solar panels in our site in Slovenia. Our sites in the United Kingdom started procuring 100% renewable electricity in May and our San Jose headquarters has achieved the LEED Silver certification, another step forward in our goal of net zero emissions. We're also very proud to have achieved the EcoVadis Gold rating for Lumentum's advanced performance in sustainability.  In addition to our progress in sustainability initiatives, I would like to thank our employees around the world for all of their hard work and resilience during such challenging times.  With that, I'll turn it over to Wajid. 
Wajid Ali : Thank you, Alan. Net revenue for the third quarter was $395.4 million, which exceeded the midpoint of our guidance range. Net revenue was down 11.5% sequentially and down 5.7% year-on-year.  GAAP gross margin for the third quarter was 42.3%. GAAP operating margin was 11.8% and GAAP diluted net income per share was $0.35. Third quarter non-GAAP gross margin was 49.5%, which was down sequentially and year-on-year, primarily driven by lower revenue and higher supplier costs.  Third quarter non-GAAP operating margin was 26.5%, which decreased sequentially and year-over-year due to lower revenue. However, non-GAAP operating margin was above the high end of our guidance range. Third quarter non-GAAP operating income was $104.9 million and adjusted EBITDA was $125.1 million.  Third quarter non-GAAP operating expenses totaled $90.7 million or 22.9% of revenue. SG&A expense was $40 million. R&D expense was $50.7 million. Other income and expense was a net expense of $0.9 million on a non-GAAP basis.  Third quarter non-GAAP net income was $88.9 million and non-GAAP diluted net income per share was $1.19 and was at the top of our guidance range provided on our last call.  Our fully diluted share count for the third quarter was 74.5 million.  Our non-GAAP tax rate remains at 14.5%.  On the balance sheet, cash and short-term investments increased $542 million sequentially to $2.6 billion, primarily driven by our convertible note offering. During the third quarter, we generated $76.6 million in cash from operations and purchased 3.3 million shares for $324 million, which includes 2 million shares repurchased concurrent with the issuance of our 2028 convertible notes. As of the end of Q3, we have purchased a total of 7.8 million shares, of which 5.8 million shares were purchased for $487 million under our $1 billion share buyback program.  In Q3, we also funded a $30 million loan to NeoPhotonics to support their revenue growth. This loan is consistent with the terms of our merger agreement.  Turning to segment details. Third quarter Optical Communications segment revenue at $344.2 million decreased 13% sequentially due to the expected seasonality in industrial and consumer and continued material and component shortages in our telecom business. Optical communications segment gross margin at 49% decreased sequentially and year-on-year, primarily due to lower revenue and product mix.  Our third quarter Laser segment revenue at $51.2 million increased 4% sequentially and 62% year-on-year. Third quarter Lasers gross margin at 52.9% was approximately flat sequentially, but up year-on-year due to higher volumes.  Now on to our guidance for the fourth quarter of fiscal 2022, which is on a non-GAAP basis and is based on our assumptions as of today.  We expect net revenue for the fourth quarter of fiscal 2022 to be in the range of $405 million to $430 million. Our telecom and datacom revenue is expected to grow by approximately $50 million sequentially in Q4.  As Alan indicated earlier, due to the accelerating demand, this Q4 guidance also reflects over $100 million of impact to revenue, driven by shortages of third-party components. However, we believe this demand is durable due to customers being at the initial stages of their network upgrades.  Based on this, we project fourth quarter operating margin to be in the range of 26.5% to 28% and diluted net income per share to be in the range of $1.25 to $1.40. The midpoints of these guidance ranges reflect our expectation of record revenue, operating margin, and diluted net income per share for our fourth quarter.  Our non-GAAP EPS guidance for the fourth quarter is based on a non-GAAP annual effective tax rate of 14.5%. These projections assume an approximate share count of 72.5 million and interest in other income and expense that is a net expense of approximately $1 million.  With that, I'll turn the call back to Kathy to start the Q&A session. Kathy?
Kathryn Ta: Thank you, Wajid. Before we start the question-and-answer session, I would like to ask everyone to keep to one question and one follow-up. This should help us get to as many participants as possible before the end of our allotted time. Operator, let's begin the Q&A session.
Operator: [Operator Instructions]. And now, our first question comes from Simon Leopold from Raymond James.
Simon Leopold: First, just a very quick clarification. On the value, you've highlighted the effect of the shortages, $65 million in the reported quarter and $100 million in the coming quarter. Are those cumulative numbers or specific to the quarter?  And then my question is, you had previously moved operations out of China and reduced your exposure to China. I'm sure you've got some sourcing from China. And so, I'm looking for a little bit of insight in terms of whether you have and you can quantify your risk from the China lockdowns. And on this topic, have you gained share from competitors because you have less direct China exposure?
Wajid Ali: So specific to the quarter, the $65 million and $100 million, it's - basically as we enter the quarter, what do we see as a shortfall based on customer demand and what we're able to supply. So, I guess, you'd say it's specific to the quarter, meaning while we're growing telecom and datacom revenue by $50 million from Q3 to Q4, the gap between our ability to supply and the customer demand has moved from $65 million in Q3 to $100 million in Q4. So, I hope that answers your question. Meaning, as we look at today, we're not able to satisfy $100 million of customer demand. Some of that which rolled over from last quarter, of course. Does that answer your question, Simon?
Simon Leopold: Yeah. So, it's basically $65 million plus an additional $35 million. So it's building because you hadn't met the demand in March quarter and you can't meet an incremental $35 million?
Wajid Ali: Yeah. I mean, you could look at that [Multiple Speakers] same time again. Yeah, at the same time, we're eating away at some of it, given that we are growing our telecom and datacom revenue by approximately $50 million from Q3 to Q4. So, what we're trying to say is, while we're able to grow that business by 20% quarter-on-quarter, the demand is growing even faster than that from Q3 to Q4.  As for your China – okay, as for your China sourcing impact on our business, we do have a factory in China still and it was shut down during the lockdowns in the end of March for 13 days. So, that did impact slightly our Q3 revenue, and more importantly, it impacted our ability to supply into our other factories for Q4 and that's factored into our guidance in Q4.  On a component standpoint, we have been working diligently over the last couple of years to eliminate sole sourcing and get the ability to have dual sources and assurance of supply in situations like we're having today. So, as we look forward, minimal impact from the lockdowns on suppliers impacted by shutdowns.  And as far as share gains are concerned, it's really hard to say because I think – if we were able to satisfy the demand, yeah, we'd be gaining a lot of share. It's hard for me to tell without looking at what our competitors are announcing to know if we're gaining share. But I'd say we probably are. 
Operator: Our next question comes from Samik Chatterjee from JPMorgan.
Samik Chatterjee: I guess for my first one, I see you decided to exclude the $5.8 million of expense related to buying broker parts in the quarter from your non-GAAP numbers, if I'm reading it correctly, which does suggest that you think it's a bit more temporary. And you talked about sort of improving IC supplies. So, just wanted to see, I mean, if I'm interpreting it right, are you thinking it's a bit more of a temporary sort of event for you where you're buying from brokers at higher prices? And what's may be embedded in your fourth quarter guide relative to broker purchases? Or is that really moderating very quickly, that's why you're treating it as temporary? And then. I have a follow-up.
Alan Lowe: I'll start off with that one. Yes, so on some very specific products, we are taking a look at some exception buys for components in order to meet our customer demand that we're seeing out there. Where we're seeing normal price increases on components for kind of what I would call regular standard products, we are including that in our non-GAAP numbers because we're seeing that not being temporary, to use your words. But, yes, where we are seeing some temporary spot buy opportunities that help us meet customer demand for specific products, we are pulling that out to show, hey, this is what we think is temporarily impacting us.  We do think that'll continue to impact us in Q4. I don't have a specific number because we are continuing some purchases in the month of April, in the month of May. But, yes, we're continuing that in our fiscal Q4. And like Alan mentioned earlier, we're expecting this – some of these supply shortages to continue to impact us throughout the calendar year. And where we see specific opportunities to go and meet customer demand and the opportunities there from a spot buy standpoint, we will continue to do that.
Samik Chatterjee: For my follow-up, you guided to a $50 million increase quarter-on-quarter in telecom and datacom revenue. And, Alan, you talked about the EML capacity increase. Just wanted to see if you can split that out a bit further. How much of the $50 million increase is coming from datacom? And is this sort of step one in terms of EML capacity and use? Maybe we get the full sort of benefit of this in the next quarter? Just wanted to think if this is the new run rate in terms of revenue for EML in 4Q or is there another sort of leg up in terms of capacity? 
Alan Lowe: Yes. Well, of the $50 million, maybe perhaps I should say, on a percentage growth basis, the EMLs are growing faster than the telecom business. And so, if you look at it as a whole, the $50 million represents about 20% of that business in Q3, going into Q4. So, EMLs are growing faster than 20% and telecom growing slower than 20% to get to that $50 million.  We do have additional EML capacity coming online. This is pretty much the implementation of what we've been talking about over the last year-and-a-half, coming online really in full force in Q4. We do have more coming online that will impact really calendar 2023. And so, we will get incremental improvements of capacity through efficiencies and productivity, but this is pretty much the incremental capacity that we've added, we've been talking about for the last 18 months.
Operator: Our next question comes from Alex Henderson from Needham. 
Alex Henderson: Just on that last question, you said incremental capacity in Q4. Did you mean fiscal Q4 or calendar Q4? Just to clarify.
Alan Lowe: For the EMLs, Alex?
Alex Henderson: Yeah, you were talking about EML capacity coming on additionally in Q4, but wasn't clear whether you meant fiscal or calendar?
Alan Lowe: I meant fiscal. So, we saw some of the improvement coming in Q3 as a result of that capacity coming online. And in Q4, this quarter, we have a full quarter of that capacity. And that's why we're seeing a very large step up in our ability to ramp EMLs in the June quarter.
Alex Henderson: Is there additional capacity coming on in the back half of the calendar year?
Alan Lowe: I would say that capacity is being installed in the back half of the calendar year that will impact our ability to grow EML capacity in calendar 2023. But between now and really calendar 2023, it'll all come through yield improvements, productivity improvements, and things like that, it'll be more incremental as opposed to this step function that we saw in fiscal Q3 and now in our fiscal Q4.
Alex Henderson: My question that I wanted to address, as opposed to telling on to the last one, was you talked about double-digit growth in 2023 and beyond, fiscal years 2023 and beyond? Can you give us some little bit more granularity on the assumptions embedded in that? You talked about the 3D sensing business as kind of flat, up 5, down 5, kind of flattish in previous conversations. Is that the assumption in the double-digit growth in 2023 and beyond, embedded in that guidance?
Chris Coldren: This is Chris. Let me maybe take a crack at that. I would first reference folks listening to – we detailed this in a presentation at OFC where we highlighted our assumptions over the next three years. And as you highlighted, the industrial and consumer minus 5% to plus 5%, but telecom and datacom being up into the double digits and same with lasers. I would say nearer term in fiscal 2023, the reason for the minus 5% to plus 5% on the industrial and consumer is we do expect that there is the possibility of share normalization. We've had very outsized share in 3D sensing, that share normalization being offset by new applications in the automotive, industrial, extended reality markets, if you will. But nearer term, that's an evolving market. So, we'll probably see more than the minus 5% in fiscal 2023 industrial and consumer, but reciprocally, the telecom and datacom lasers will probably be at the high end or above the estimated CAGRs that we had highlighted in that OFC presentation. So, current situation in 3D sensing or industrial and consumer is well incorporated in our assumption of fiscal 2023 revenue growth.
Alex Henderson: As a follow-up question then, there was no mention of ROADMs so far in the call, at least not that I heard. Can you talk a little bit about the situation in the ROADM market relative to how much it's being impacted by supply constraints, what the underlying demand feels like, and your ability to sell and install those products in customer systems? 
Alan Lowe: We're not forgetting ROADMs. ROADMs are critically important to us and to our customers and to their customers. I'd say that ROADMs and ROADMs line cards have been impacted significantly by the IC shortages where we've seen extremely strong demand. So, if you go back and look at our pump shipments, year-on-year up 50-some-percent. ROADMs are the other direction and that's really because of constraints, not because of demand. So, demand is extremely strong. And as the IC shortages improve and we're seeing it in Q4, ROADMs will increase as a result of that. So, a lot of pent up demand for ROADMs. That's why in Wajid's prepared remarks, we think it's durable because, in a lot of cases, we're sole sourced in these advanced ROADMs. And customers critically rely on our technology and products for these next generation of networks. So ROADMs are very, very strong. I wish I had more ICs because I'd be able to ship a whole lot more in Q4 and beyond.
Alex Henderson: So, the ROADMs accelerates at some future period, does that then result in a reduction in the growth in pumps because you're sucking the pump volume into your amps and amps into the ROADMs? 
Wajid Ali: I think that kind of goes back to history. Yes, we internally supply into our ROADMs, so there could be some reduction in pump revenue. But we've added a lot of capacity over the past several years in pumps. So, I'm not sure that will be that significant of an impact to revenue.
Alan Lowe: And we're continuing to add pump capacity as we speak. So, as we defer more of those pumps to our internal consumption, that probably ties pretty well with our added capacity that we're adding over the next few quarters.
Operator: Our next question comes from George Notter from Jefferies.
George Notter: Maybe just extending the conversation on ROADMs. I think you guys were working to qualify alternate suppliers on componentry into your ROADMs products. Can you tell us where you are in that qualification process and when that might help alleviate some of your supply constraints?
Alan Lowe: Across the board, we've been looking at alternative sources that are plug compatible and those certainly have gone a lot smoother than ones that require a board respin. And so, those board respins have been challenging, as you can imagine. But we're confident that they're going to continue to progress and alleviate some of these concerns and some of our component shortages. But I'd say that, for more the common parts, we've made more progress than on some of the complex parts that require both a PCB spin, as well as firmware changes. And that's just taking more time. But we expect that to really come to closure over the next few months, so that we'll see some ability to get these complex ICs early fiscal 2023.
George Notter: The other one I had was on DMLs. I think if I go back over the last few quarters, you guys were working off some inventory in China. I'd love to get an update there. 
Alan Lowe: We have seen some of the DMLs that we, if you recall, over a year ago or so, we reversed some revenue or deferred some revenue. That has been slowly starting to be recognized as those DMLS are being consumed by our customers and their customers. Still some inventory to go. But I'd say it's encouraging that there's movement. So, I guess, you can translate that into 5G base stations being deployed again in China, not nearly to the pace that they were two years ago, but certainly a signal that they are being deployed, which I think is a good sign for the future. 
Operator: Our next question comes from Meta Marshall from Morgan Stanley.
Meta Marshall: A couple of questions for me. Just one you kind of noted progress on the wireless fronthaul opportunity and just wanted to get a sense for how large you think that opportunity could be as it ramps kind of next year.  And then second, just as you look to size kind of the $100 million difference between kind of supply and demand, just how are you guys thinking about how much is forward ordering versus kind of how much is equipment that they would have actually wanted in that quarter? 
Alan Lowe: Well, I'll answer the second question first and then ask Chris to tackle the fronthaul and the 10G and 25G tunable stuff.  I'd say that we have long lead time purchase orders from customers for requests outside of the existing quarter. We don't count that in the $100 million. This is for orders that customers have said they want in either this quarter or prior quarters. And so, from that perspective, I think the demand is real. If we got all of the ICS that we could ever imagine tomorrow, where our customers want them all immediately, probably not because they're reliant on other supplies and other suppliers to satisfy those network build outs. So, I think it's real. I think it's durable. And I think it'll bleed off over time as the worldwide semiconductor situation gets better, but we don't see that being alleviated until calendar 2023.  Chris, you want to pick the wireless fronthaul question?
Chris Coldren: I'd also like to tag on to the $100 million piece. I think there's something important to highlight, right, that it's not $100 million – a little bit across every product line. Product lines that are not constrained are up tens of percent year-over-year, whereas, as Alan highlighted earlier on the question on ROADMs, ROADMs are the other direction. But as they are integral to the network and systems, we expect they should be running at comparable rates as the other product lines that are not constrained at the present time. And lo and behold, $100 million kind of reflects that. If you were to sort of hypothetically add that back to existing or guidance, then all of a sudden all the product lines are up in similar tens of percent year-over-year kind of basis.  Turning back to the wireless fronthaul, we participate in two ways, specifically in wireless fronthaul today. One is, as we've talked about in prior calls, supplying the DML lasers or 10 gig going to 25 gig lasers in our what we would call datacom, even though it's a telecom application, but very analogous to the kind of lasers we supply into hyperscale data centers. That business has been depressed, as we talked about earlier, but it has run at several tens of millions of dollars per quarter. And we believe that, over time, it can get back to that. So, several tens of millions of dollars per quarter opportunity.  The other way we play is, as Alan alluded to, 10 gig and 25 gig tunable lasers as WDM approaches start to penetrate wireless fronthaul as well as in the cable MSO fiber deep architectures. Collectively, those we expect very early stages, but are starting to ramp up to be multi-hundred million dollar a year market opportunity. So, a very exciting leg to our story, in that over the past n number of years, our telecom transmission has been reserved, if you will, to metro, long haul, coherence applications. And we haven't participated more in access or edge applications where the volumes are quite high. And now, with the adoption of fiber deep and WDM architectures in 5G fronthaul, a very large market opens up. That's very unique to our kind of tunable laser technology. 
Operator: Our next question comes from Tom O'Malley.
Thomas O'Malley: My first one is just on the current reported quarter. If you look at telecom and datacom, it's down about 9% sequentially. You gave some breadcrumbs on the pump lasers being better. ROADM is having some component constraints, but could you just give us a little more color on the split between datacom and telecom as you look from the December to March quarter and how you get to that minus 9% overall.
Wajid Ali: Well, I don't think we want to get into specifics on the exact revenue levels, but I think what you can assume, as Alan highlighted, is we've been, in datacom, capacity constrained and got a little bit of extra capacity in the March quarter. So, you can assume datacom was relatively flattish quarter-over-quarter, in that that any of the decline was driven by COVID-19 surge driven, supply constraints, somewhat unique in this case due to the surge in December and January timeframe hitting the telecom almost entirely.
Thomas O'Malley: My other one is just on the datacom side. So you're giving EML stats year-over-year now. And it looks like those are growing quite nicely. Could you just help level set how big EMLs are a part of that datacom business now? You just talked about how DMLs were running tens of millions of dollars at peak, but they're lower than that. Any kind of help with the split out there just so we have some feel for how big that business is getting? 
Wajid Ali: I think the best way to say it is it's in the range of 70%, 75% of our total datacom business at present, EMLs that is.
Operator: Our next question comes from Rod Hall from Goldman Sachs. 
Rod Hall: I wanted to come back to this comment that I think you'd said industrial and consumer will be down more than 5% in fiscal 2023. I kind of wanted to dive into that a little bit and understand, at least from a qualitative point of view, do you think that it's mainly due to the end market and kind of normalization of the end market? Is it share related? Is it content related? Maybe could you dig into that a little bit? And then I have a follow-up.
Alan Lowe: Rod, I think this is our expectations with regard to share normalization or equalization for the past five and a half – over five years, we've had a very, very large share of our leading edge customer. And we expect that, at some point in time, share will normalize. And that's why we're setting expectations that it could be down more than 5% from fiscal 2022 to 2023. Not anything to do with the market or device numbers or growth at our end customer. This is really more as we look at share specifically.
Rod Hall: Alan, I wanted to follow that up and just say, you're not expecting much of a change on content then, it sounds like. Just normal kind of maybe declines in pricing, but otherwise not much about content change.
Alan Lowe: I think it could in the coming years. We're working on many different lasers of different types. And until they go into a product, it's hard to say how much, what models they go into and things like that. We're not counting on in that guidance in the Android business. And that could be an upside, but I'd say we've been working with Android for years. And it had its day when we were shipping meaningful revenue to Huawei on their handsets. But I'd say, as far as content at our leading customer, there may be some increased content, but some of that will be offset by, as you say, price reductions over time.
Rod Hall: My follow-up was just on these new applications, XR and automotive. I thought on automotive, your commentary suggested maybe external sensing coming a little closer, you've got a little more visibility, but I don't know if I misinterpreted your comments there. I wonder, could you just talk a little bit about XR wins, roughly timing on that. Is it early part of the calendar year? And then automotive, is that right or are you getting a little bit more visibility on application for external sensing?
Chris Coldren: Rod, this is Chris. I would say that what we're highlighting is a lot of design win activity, if you will, both in the automotive and the extended reality applications. So, very strong customer traction. Design wins racking up with multiple customers and, more importantly, meaningful customers in those spaces.  From a timing standpoint, I think as we've been clear automotive is a very long-term market. So it'll start small and increment upwards steadily. Extended reality has probably more opportunities in nearer term, but we still think – I think we said this in the prepared remarks that we expect customer products to be launched probably calendar 2023 timeframe would be our expectation, but customers don't share with us their exact timing around product launches and what they're going to be, per se. As you can imagine, these customers are very secretive in this space about what they're doing. But I would say we know that certain number have been shipped in calendar 2021 and expectations of growth into 2022 and more meaningful growth in 2023.
Operator: Our next question comes from Christopher Rolland from Susquehanna.
Christopher Rolland: My question is around comps. I guess there's a couple parts to the equation here, supply and demand. For that $100 million supply shortfall, I was wondering if you could kind of break that up between ROADMs, TC and DC? And conversely, from the demand picture, which of those three are you seeing kind of the biggest surprise in demand versus your expectation?
Alan Lowe: I would say the shortfall is primarily telecom. So, if you say, it's all on telecom or 95% of it is in telecom. The split between ROADMs and transmission products is pretty close. I'd say ROADMs have been impacted most in the past. In the March quarter, it was impacted significantly and where we're seeing some relief in the June quarter. So, I think as we get the semiconductors, we're working diligently – and I wanted to say thank you to the supply chain team. They've just done a fantastic job. But I'd say ROADMs are the biggest hit as an individual product line. But then it goes into amplifiers, blades and transmission products as well.
Christopher Rolland: On the 3D sensing side, just to follow up there and get my head around it. If I'm doing the numbers right, we're down almost 30% year-on-year for the June quarter. I know this is a small base in June. But as we look out into next year, how would you put the odds at being down significantly more than 5% year-on-year? Could there be a situation in which we're down 20% or something like that? Or in your best view, are we just looking to fall kind of much more modestly here?
Chris Coldren: I would say first that we didn't give a specific 3D sensing number for the June quarter guide. I would say that, I guess, it was a year ago or so, we said that the overall markets due to chip size reductions would be down 20%, 25%, something like that. And what we've seen is, in fact, exactly that. And hence, that's why you're seeing the year-over-year decline in 3D sensing, for example, in the June quarter. What the market or more specifically what our revenue is going to be in our next fiscal year, we're not providing guidance much more beyond what we've said. But, certainly, the color we're providing is that that minus 5% to plus 5% three-year CAGR, you can imagine it being a little B or U-shaped, if you were to look at it on an individual 2023, 2024, 2025 basis, as Alan alluded to, share normalization, if it happens, happening at least from a model standpoint, assume next year and then new applications come in and offset that in 2024 and 2025 timeframe. So, I don't want to get into specifics of how much of a decline, but certainly more than the 5%. But on a three-year basis, being somewhere flattish, just slightly up, slightly down in aggregate. 
Operator: Our next question comes from Michael Genovese from Rosenblatt Securities.
Michael Genovese: A lot of good questions have been asked. So, I'll just ask a quick one question. You've got the $50 million sequential increase in telecom and datacom revenues this quarter, and just looking at your operating margin and EPS guidance, it seems like that actually is coming at a pretty decent gross margin. So, can you just talk about how you did that in this environment? Are you avoiding expedite fees on this incremental amount? And talk about how have solid gross margins even in this supply chain, please?
Wajid Ali: I think you've seen for a number of quarters, we've been talking about our overall company margin model. And for two years in a row, on a fiscal year basis, we've been fairly consistent in achieving or exceeding our model, both from a gross margin standpoint and from an operating margin standpoint. And actually, if you take a look at the midpoint of our fiscal Q4, we will actually improve gross margins year-over-year. And one of the biggest drivers for us is really operating leverage. And so, when our lasers business is growing as it has year-over-year and sequentially, that's covering a lot of manufacturing overhead for us, and that's helping us drop more to the bottom line.  In addition to that, we're seeing a lot of growth, both in our transmission and our telecom business, the margins for those products are quite good relative to historically what we've seen. Our 10G tunable products are doing quite well in transmission, and we're seeing the benefit of that fall to the bottom line.  Our operating expenses have stayed fairly consistent, as we've continued to invest in R&D. And so, that's been helping us too. Yeah, we're expecting some expedite fees to happen. When we have one component left and the only way to get the product to the end customer is to do a spot buy, we'll continue to do that. And we think it'll help our overall customer satisfaction. And our main goal is to meet or exceed our customer expectations. And that's how we're running the company and that's how we're driving our financial model as well.  So, yeah, it's really just the leverage we're seeing on our telecom and our lasers business, as well as our datacom business improving quarter-over-quarter. We popped out some EML numbers, Chris did earlier, and that's really helping us as well. So, it's really those things.
Operator: Our next question comes from Ananda Baruah from Loop Capital.
Ananda Baruah: Congrats on the strong results. Just two quick ones, if I could. I guess the first is, with demand continuing to accelerate, any concept you can share with us about how it impacts second half of calendar year seasonality?  And then, just a clarification. Is it accelerating at a faster pace today than you thought it might have been 90 days ago? 90 days ago, you guys were quite positive as well. And then, I have a quick follow-up. 
Alan Lowe: I would say it's accelerating as we expected, given we've been signaling the transition to 400G, 600G, 800G coming. And the new network architectures focused on our leading edge ROADM technology. So, I'd say the demand is coming into play as expected. The supply, on the other hand, is tougher. And so, I'd say, we're not lacking demand. And I don't think we're going to be lacking demand for several quarters. It's a matter of what does the semiconductor situation look like in the second half of the calendar year, and that will really dictate what the telecom revenue looks like in our fiscal Q1 and fiscal Q2. So, we're working diligently to continue to try to improve that. But the situation is not totally solved yet. And so, that's a challenge for Q1 and Q2.  And we're only going to guide one quarter at a time because the visibility is a little bit tough beyond the short-term horizon on what's going to happen with semiconductors.
Ananda Baruah: Wajid, just a quick follow-up on the previous operating margin question. Is that to say that we should expect good leverage going forward? As you've mentioned, you're putting up good leverage in the June quarter and you have been in recent quarters. So, should that be something we should expect as well going forward?
Alan Lowe: Certainly, we're expecting to have continued leverage as we move into fiscal year 2023. I think the one point of caution is we are seeing increased component costs that are impacting us. And as that continues to happen, in fiscal year 2022, with the supply shortages that Alan talked about, we're going to continue with our target model, but we're not going to communicate any changes to it.  In addition to that, just as a reminder, our expectation on NeoPhotonics is that closes in the second half of our calendar year. And as that comes on board, we're going to have a lot of work to do from some of the synergies commitments that we've made to all of you. And that's going to have some transitional impact on our overall gross margin model as well. So, I just want to make sure that we all keep that in front of us.
Operator: Our final question comes from Dave Kang from B. Riley.
Dave Kang: My two questions. The first one is regarding China. What's the situation with Shenzhen factory? How much revenue does it generate? And is it running 100% or partially?  And my follow-up is regarding the supply chain impact. It was $65 million. This quarter, it'll be $100 million. When do you think it'll inflect?
Alan Lowe: So, China, Shenzhen is back running full force. And it's hard to say how much revenue it generates because it makes components that go into other factories. And it primarily produces sub-assemblies and components for our telecom transmission business. So, a large percentage of our telecom transmission business goes through that factory. And as I said earlier, we were shut down for 13 days in March. That impacted our revenue in the in the Q3 numbers, as well as the components that flowed into other factories in Q4. And that's factored into our guidance.  The question on supply chain, when does it inflect? 
Dave Kang: Yeah. So, it's been going up. When do you think it will start to come down?
Alan Lowe: It's hard to say. If you could tell me when the semiconductor shortages end, I can tell you the answer to that. But I'd say we believe that the demand for our telecom products and our leading edge ROADMs and high-speed transmission products is extremely robust, and it's going to continue to be robust. And that's why it gives us confidence in the double-digit growth in fiscal 2023 over 2022 and beyond. So, I'd say demand is going to continue to be strong. We're going to have component challenges into calendar 2023. When does that go away is a little bit of a hard question to answer. But I'd say that demand is, again, not our problem in the short term. And I don't think it's our problem through fiscal 2023. 
Kathryn Ta: Now, I'd like to just pass the call back over to Alan for some closing remarks. 
Alan Lowe: Great. Thank you, Kathy. I want to thank our customers and suppliers for their partnership in these challenging times. I'd also like to leave you with a few thoughts as we wrap up this call.  I am very excited about the accelerating customer demand in telecom, datacom and lasers, and the work our team continues to do to improve our supply of third-party ICs and to increase our manufacturing capacity to support this ongoing demand strength.  Additionally, the opportunities we have in automotive, extended reality and industrial applications, which increasingly leverage 3D sensing and LiDAR capabilities at Lumentum are emerging and will drive diversification and growth. Our market-leading products and technologies positions us well for these opportunities ahead.  With that, I would like to thank everyone for attending, and we look forward to talking with you again during upcoming investor events, which you will find posted on our website. Thank you for attending. 
Operator: Thank you. This concludes today's call. You may now disconnect your lines.